Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2008 WESCO International Earnings Conference Call. My name is Michelle and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's conference. (Operator Instructions). I would now like to turn the presentation over to your host for today's call, Mr. Daniel Brailer, Vice President, Treasurer. Please proceed sir.
Daniel A. Brailer: Thank you, Michelle. Good morning ladies and gentlemen. Thank you for joining us for WESCO International's conference call to review the fourth quarter and full year 2008 financial results. This morning, participating in the earnings conference call are Mr. Roy Haley, WESCO's Chairman and Chief Executive Officer; Mr. John Engel, Senior Vice President and Chief Operation Officer; and Mr. Steve Van Oss, WESCO's Senior Vice President and Chief Financial and Administrative Officer. Means to access this conference call via webcast was disclosed in the press release and was posted on our corporate website. Replays of the conference call will be archived and available for seven days. Following the conclusion of this conference call, we will post on our website a supplemental financial data presentation that provides a summary of certain financial and end-market information provided in today's commentary by management. This conference call may include forward-looking statements and therefore, actual results may differ materially from expectations. For additional information on WESCO International, please refer to the company's Annual Report on Form 10-K for the fiscal year ended December 31, 2007 and other reports filed with SEC. The following presentation may also include a discussion of certain non-GAAP financial measures. Information required by Regulation G with respect to such non-GAAP financial measures can be obtained via WESCO's website, at www.wesco.com. I would now like to turn the conference call over to Roy Haley.
Roy W. Haley: Good morning and thank you for your continuing interest in WESCO. Sales for the full year 2008 increased modestly with a new record level being established. And we maintained our backlog despite the double negative of declining end markets and falling commodity prices. Our sales performance in this environment is the result of offsetting weaker markets with greater sales coverage, increased penetration with existing customers and the development of new business with targeted accounts. We're obviously concerned about the current economic conditions, but we're definitely not hunkering down. Our sales and service teams are focused everyday on quality and service enhancements while actively pursuing new business opportunities. In prior downturns, we have invested with good success in new marketing capabilities, information technology upgrades and organizational productivity initiatives such as LEAN. We're taking the same approached in this recession, as the challenges that we face reveal new needs and new opportunities. Our goal is to come out on the other side in a much stronger position. The divestiture of our LADD operation at the beginning of 2008 as for some made quarterly comparisons a little difficult for a few of the key operating statistics, one of which is gross margin and another being the 40% of prior earnings that is now included below the line. But that issue is behind us as we enter 2009, and I can tell you with confidence that our organization has done a very good job in our base operations, and in protecting margins despite the increased competition for new business and significant commodity price declines. Like others in our industry, we're faced with making adjustments to our operating cost structure, and WESCO is responding appropriately while being careful to protect customer relationships. We're responding to market conditions in a continuous adjustment mode, and we'll make additional changes as needed. Assisting us in this regard is our experience with LEAN performance improvement techniques that began during the last downturn. With LEAN, we're going after multiple opportunities for revenue enhancement and cost elimination. We're well organized for this effort and I'm confident that we'll make good progress. Now Steve is going to provide details on the quarter and full year operating results and selected year-end financial ratios, and then John will follow and give you an update on major end markets, before going into the Q&A session.
Stephen A. Van Oss: Thanks Roy. Good morning everyone. I'd like to provide a few comments to put the quarter's performance into context. Despite our diverse customer base and multitude of sales and marketing activities, we are not immune to the economic slowdown. With end market activity deteriorating rapidly, we saw quarter-over-quarter sales decline by just over 2%, with the entire decline occurring in the second half of the quarter. Our response was quick and decisive. Margin actions were successful in expanding our gross margins by 50 basis points sequentially. Staffing actions which has been underway since the second quarter were accelerated with 100 of the 130 personnel reductions made in the quarter occurring in the month of December. Ten underperforming branch locations were closed in the quarter and discretionary spending and capital expenditures have been deferred or eliminated. Last quarter, we reviewed the positive characteristics in WESCO'S free cash flow generation throughout the business cycle. Our emphasis on cash generation, credit availability and debt reduction resulted in $42 million of free cash flow for the quarter and $236 million for the year. Our liquidity position at 382 million improved by $202 million over last year end and includes the funding of $35 million of capital expenditures, $75 million of share repurchases and acquisition funding. We are highly confident our proven business model will again be resilient in an economic downturn, providing ample free cash flow and credit availability to fund operational and other financing requirements in 2009 and beyond. Additionally, at the end of the year we completed the acquisition of AA-Electric on two-location automation distributor serving diversified industrial OEM customers from their operations in Wisconsin. AA had 2008 sales of $21 million and is expected to be immediately accretive. This geographic place strengthens our position in the upper Midwest markets and supplements the OEM sales efforts of our Carlton-Bates operations. If you look at the fourth quarter results, adjusting for the divestitures in the first quarter of the year and 1.7 point impact attributable to the weakening of the Canadian dollar, consolidated sales at $1.43 billion were down 0.7%. There is no meaning for price impact on sales in the quarter. Declining end-market activity throughout the quarter resulted in lower sales to customers in our industrial and construction end markets. Sales to utility customers and the customers in Canada on a Canadian dollar basis were up during the quarter. Sales per workday declined throughout the quarter with December at levels not seen since early 2006. Backlog, which consists of firm orders for future delivery, ended the year flat to 2007. Consolidated gross margins at 19.9% improved sequentially by 50 basis points, despite a substantial decline in commodity prices during the fourth quarter and a slight shift to a higher mix of direct shipment project-related sales. Improvements in our projects and stock margins more than offset this mix shift as well as offsetting lower margins associated with sales of copper-related products in a fourth quarter environment where spot corporate commodity prices declined by almost 50%. SG&A cost increased by $11 million or 5.7% over last year, with $4 million of the increase due to cost associated with employees severance and branch closures. Another 4 million due to higher bad debt expense and $2 million due to the swing in foreign exchange gains and losses and along with $3 million of general cost increase. This was somewhat offset by lower payroll costs driven by induced incentive compensation. Sequentially cost decreased almost $7 million primarily due to the lower compensation benefits and incentives. Our all-in borrowing costs are low at approximately 3.6%, and along with reductions in debt levels have allowed the company to reduce interest costs $1.3 million sequentially and $5.8 million from last year's fourth quarter. The effective income tax rate for the quarter was 35% versus the full year rate of 30% and last year's fourth quarter rate of 26%. The higher fourth quarter 2008 was due to the mix of foreign and domestic earnings for the year. The full year 2009 tax rate is expected to be approximately 31%. Net income for the quarter was $42 million and resulted in earnings per share of $0.99 versus net income of $61 million and earnings per share of $1.34 last year. For comparison purposes, utilizing the full year 2008 tax rate of 30%, this year's fourth quarter would have resulted in net income of $45 million and earnings per share of $1.06. At this time I'll turn it over to John, our Chief Operating Officer, who will provide additional commentary on our end markets and initiatives we are undertaking to expand market share.
John J. Engel: Thanks Steve and good morning everyone. I'll be providing a performance summary for each of our major end markets. So, let me first start out with a few highlights. Construction sales were down 5%. Industrial sales were down 3% while utility sales were up 7% versus the fourth quarter of '07, resulting in an overall WESCO consolidated sales decline of 2%. The quarter started out with sales of 4% in October, but momentum degraded as we moved through the later part of November into December. We responded quickly and executed a series of cost reduction actions and we will continue to evaluate end market demand and take further cost reduction actions as required. Despite the economic slowdown, our markets are large and our customers are increasingly looking for ways to streamline their supply chains and improve their productivity. WESCO is well positioned to provide value-added solutions to our customers taking share against this tougher economic backdrop. Moving through a summary of our major end-market segment and let's start out with construction. Sales to construction customers were down 5% in the fourth quarter versus last year, with most geographic regions experiencing a slowdown. The non-residential construction market is forecast to decline double digit in 2009. And there are increasing number of project delays and cancellations that are being announced. Despite these forecasts, the non-residential construction market is large and with our size and capability, we have the opportunity to increase our participation rate in the available business and expand share. Our construction sales and service initiatives are focused on large regional and national contractors. Particularly those involved with hospitals, educational facilities, data center, energy and government infrastructure and defense-related projects. We are using our sizing capabilities differentiators in securing new awards from multi-location contractors. We are bundling projects and exploring alternative means for procuring, staging, and installing our products. In the current environment, contractors are heavily waiting the financial health and stability of our potential distributors in our supplier selection and project award criteria and this bodes well for WESCO. Data communication sales posted an overall decline of 2% in the quarter despite strong sales to government and enterprise customer, which were more than offset by softness in low voltage audio-visual products, and industrial wiring cables. Our sales and marketing initiatives are yielding positive results as evidenced by a number of government and healthcare wins in the quarter. During the second half of '08, we opened seven CSC locations within the existing WESCO branches to expand our data communications geographic footprints. This branch within in the branch expansion strategy is low cost and rapidly deployable, and increases cross selling and service opportunities in our blue chip customer base. We remain focused on expanding market penetration and expect to see sales opportunities for data center, healthcare, education, and government related infrastructure spending in 2009. Our long term outlook is for increasing bandwidth as customers migrate to higher capacity network architecture, invest in data centers and prove the security of their facilities in IT network, and seek green solutions that are both cost effective and reduce power consumption. Now moving to industrial; sales to out national accounts and integrated supply customer showed the positive growth in the quarter, and were up 2%. Bid activity remains high in our national account opportunity pipeline expanded to an all time record level in the fourth quarter. Purchasing executives that our customers are becoming increasingly concerned about supply chain integrity, and we believe our activity levels reflect our heightened concerns. We maintained 100% contract renewal rate in 2008, and currently have a majority of Fortune 500 companies as our national account customers. Our customer facing initiatives are concentrated on providing value-added services, and selling the complete WESCO portfolio products to serve our global customer needs in MRO capital projects, OEM materials and value added assemblies. Now, moving to utility; in the fourth quarter, sales to utility customers showed positive momentum for the third consecutive quarter. Overall utility sales were up 7% versus the fourth quarter of last year. Sales to our investor-owned utilities were up double-digits. Public power customers were flat, and utility contractors were down. Utilities spending weakened in December and customers remained focused on prioritizing their capital spend towards transmission related and alternative energy projects. And market does remain active with bid requests and interest in our national account, and integrated supply opportunities and capabilities remain tight. We anticipate that market levels in early '09 will be down as utility customers evaluate power demands and reduce their inventory levels and capital spending accordingly. We're well positioned to expand share as utilities look to rationalize their supply chain. In summary, we are continuing to make the necessary adjustments including more aggressive cost management actions. Despite an economy that is weakened, our emphasis and focus in '09 remains on sales and marketing execution, and capturing new opportunities for growth while keeping tight controls on our overall cost structure. WESCO is a different company today than during the last downturn in 2001 and 2003. In addition to our capital structure being in excellent shape, today's WESCO is a much stronger company across multiple dimensions. First, customer base and market position and penetration; we expand our relationship with global blue chip customers and strengthened our national accounts, integrated supply, international, and local service and support business models. And we have built an innovative set of marketing capabilities that are focused on demand creation. Second, portfolio; we have a broader portfolio of products and services coupled with new supplier relationships, including data communications with CSC, electronics and OEM with Carlton-Bates and our newest acquisition AA-Electric. Mechanical and agent sourcing Fastek and J-Mark, automation and control with Cascade Controls, and lighting solutions and a strengthened Gulf Coast presence with Monty Electric Supply (ph). Third, LEAN; we're near six of a decade plus LEAN journey, and our operational execution foundation has been established. A LEAN continuous improvement mindset is promoted internally for all that we do from front-end sales to back-end customer delivery service and support; it's pervasive. Fourth, information technology; we have extensive and powerful suite of data and information management applications that we use to manage the business and provide real time visibility. And finally, team; we've expanded and strengthened our organization and talent base. We have the strongest team we ever had, and our extra effort people are our differentiator. With that, we remain confident in our ability to execute in this tougher economic environment and are committed to exit this downturn and even stronger company. Now back to Steve.
Stephen A. Van Oss: Thanks John. I'd like to comment on pricings and then take a look at 2009. As previously discussed, we estimate there was essentially no overall price impact on sales for the quarter. As the impact of previously general price increases were offset by lower commodity prices. Continuation of current copper price levels will negatively impact sales of copper related products for at least the first three quarters of 2009. Similar or above the amount we sold this quarter. We have an established policy of marking up our inventory to current market levels, and we are generally able to sell through commodity price declines. We do not anticipate taking any inventory write-downs in 2009 based on the current price levels although margin levels on these products will lightly be compressed over the next 45 to 60 days as sell through the higher price inventory. Looking at 2009, given the volatility adversely all of our served markets, we will not be giving quarterly sales or earnings guidance. We remain confidence that our sales and marketing initiatives and our leading market position will enable our company perform better than the end market as we maintain or improve current position and grow with new customers. At this time, our best estimate is for top-line revenue to be down in a range of 8 to 12% for the year. Our near term focus is on real time right sizing of the business and maintaining ample liquidity and credit availability. As mentioned in our press release and in John's comments, we are making additional reduction to staff levels of approximately 350 persons or 5% of our workforce in the first quarter. We expect the annualized cost saving associated with these action to be approximately $18 million, and anticipate taking $3 million pre-tax and severance charges during the quarter. Therefore, we will not see the full cost savings of the personnel reductions until the second quarter of 2009. Additional cost reduction actions such as temporary labor and overtime reductions, the impact of branch closures in 2008, travel restrictions and salary merit deferrals are expected to generate additional savings of 20 to 25 million on an annualized basis. Our capital expenditures will be reduced by over 50% and are expected to be in a range of $16 million for 2009. Another factor that we're looking at 2009 and beyond is our debt facilities, which are in good shape with our earliest maturity occurring in May 2010 for our $500 million accounts receivable securitization facility. We have utilized securitization programs since 1998, and intend to use them as part of our capital structure going-forward. We are in the process of renewing the current program with the multi-year term beyond 2010. Also, in late 2010, we have the potential to have our $150 million convertible debenture put back to the company. This redemption can be readily financed to our current debt capacity or free cash flow over the next two years. In summary, we had a good quarter against the tough economic backdrop. We remain confident in our ability to increase market share, and we are working hard on the margin front. We will proactively address our cost structure in the face of declining end market activity. Company is in strong position to execute in difficult environment, and we are confident we have the balance sheet and liquidity to allow us to further strengthen our position to customers and suppliers. Michelle, would you please open up the call for the question-and-answer session?
Operator: Thank you sir. (Operator Instructions). And our first question comes from the line of Adam Uhlman of Cleveland Research. Please proceed.
Adam Uhlman - Cleveland Research: Hi good morning guys.
Roy Haley: Good morning.
Adam Uhlman - Cleveland Research: I was wondering you had mentioned that sales trend decelerated through the final six weeks of the quarter. Could you provide a little bit more clarity on how sales developed by month and then what you're seeing so far in January?
John Engel: Yeah Adam, we saw a pretty rapid and sudden deterioration I'd say in middle of November... starting middle November, extended through November, ended December. In October we were up about 4% in terms of sales growth. November ended up flat and December ended up down double digits for over all reported results for the quarter. And January is off to a start that's consistent with December, a little bit worse than December and our view is as follows: We were getting increasing reports of extended in new plant shut downs. Its clear that the buyers in our customer base have been directed to reduce discretionary spending and we clearly are seeing those effects through December into January and I think also coupled with some of the challenging weather conditions we've had across the country, I think have added to the start in January. So that's the picture. 4% flat double digit down December continuing into January so far.
Adam Uhlman - Cleveland Research: Great. Thanks, that's helpful. And then on the backlog levels, the growth rate there slowed up quite a bit. Have you seen any cancellations out of the backlog and how firm is the book right now?
John Engel: Yeah, we've not... we've seen a few cancellations but nothing meaningful. We're seeing more deferrals at this point. The backlog is still at a very healthy level. Entering 2009 its equivalent to the level that we had entering 2008. But it did decline in the quarter and so that's what we're seeing at this point. Part of that is seasonality, but we're clearly seeing some deferrals, some cancellations. We're focused very much on our initiatives that working on opportunity pipeline. I mentioned that and one thing that we're hopeful that we'll see as look at 2009 is our opportunity pipeline for national accounts like opportunities integrated supply is at an all-time record level. That hasn't translated in the backlog yet but we're seeing increasing requests from customers to come in and they look at cutting their spending for driving productivity. They're looking at rationalizing their supply base and we are very well positioned to come in with the national accounts integrated supply model to provide those kinds of cost savings. So that pipeline Adam, even the backlog is high but the pipeline is an all-time record level as we enter the year.
Adam Uhlman - Cleveland Research: That's good news. Thank you.
Operator: And our next question comes from the line of Sam Darkatsh of Raymond James, please proceed.
Sam Darkatsh - Raymond James: Good morning gentlemen, how are you?
Roy Haley: Good morning
Sam Darkatsh - Raymond James: There are four questions. Hopefully they'll be quick for folks. First off Steve, what are your thoughts in terms of your ability to refinance the receivables securitization at this point?
Stephen Van Oss: We have a very high degree of confidence based on the relationships we had accompanied with the folks in that area and what feedback we have got. I mean it's a very tough environment. We believe the window is open now and we'd expect to have in the next 90 days there have something to report on that.
Sam Darkatsh - Raymond James: Okay. The next question would be, near-term gross margins; with the deflation of copper, it's bit of a blackbox for us on the outside to look at what the impacts might be on near-term gross margins. What do you... based on what you are seeing right now, I know you must have 20 in Q4? How do gross margins look at least at this point in Q1?
Stephen Van Oss: We would expect to continue the success we had this quarter with offsetting the downward pressure on that. And there is a bit of LEAN lag with that. We did see the impact of the drop of commodity prices impact the volume in the fourth quarter and we expect to see may be the full impact of that in the first couple of three quarters of 2009. But we're able to offset the margin drop on that. I got to commend the organization for doing an excellent job of selling through the inventory and we expect to see that continue into the first quarter.
Roy Haley: And Sam, I would add; we've been working hard at margin for a long time and it's our top priority we have been doing everyday. We're encouraged by the results in the fourth quarter and January is off to a nice start in terms of being a slight uptick versus how we exited the year. So it will remain our top priority as we grind through the challenging economic environment.
Sam Darkatsh - Raymond James: Two more quick questions if I might; Steve, the free cash flow, 42 million in the fourth quarter roughly approximated net income. With the downward swing in demand would you anticipate that free cash flow in 2009 would exceed net income and if were... if your top-line does decline by 8 to 12% what would that generally translate from a free cash flow standpoint?
Stephen Van Oss: We saw it roughly 100% in the fourth quarter. We'd expect to see more than that on a full-year basis. And as the sales decline and the quicker drop off in accounts payable will challenge working through the inventory in that first quarter. And that's what we saw in the fourth quarter. So I would expect to see in that 110 to 120% of net income and that's similar what we saw in 2001 down turn. So...
Sam Darkatsh - Raymond James: My last question; the $80 million that you were referring to in terms of, I think it was charges. Is that what we should be modeling for 2009?
Stephen Van Oss: No that was... the $80 million should represent the annualized favorable impact on salaries benefit, incentive compensation. We anticipate taking roughly $3 million, one-time charge during the first quarter related to approximately 350 people.
Sam Darkatsh - Raymond James: So the 80 million is the 2009 savings incremental to '08?
Stephen Van Oss: Related to that group of personnel yes.
Sam Darkatsh - Raymond James: I got it, thank you.
Operator: And our next question comes from the line of Scott Davis of Morgan Stanley. Please proceed.
Scott Davis - Morgan Stanley: Hi, good morning guys. I think most of my question has been answered but I've got a couple nitpicky things. I mean first, when you look at account receivable, it looks like you've made some pretty good progress there. But have you made adjustments or have you had to make adjustments for increased bad debt allowances for payables or receivables, excuse me that just may not come through?
Stephen Van Oss: Yes and yes. We had a higher rate of accruals as well as absolute write-offs in the fourth quarter and for the year. So the year was around $7 million, and we have taken our accruals up. We've done a very good job over the last couple of years. Receivables are in excellent shape. The days outstanding, we are well below where we were in the previous downturn. So very concerned about it. We are watching it closely, particularly in certain sectors and we been proactively reducing our exposure in those areas. And the reserves are in good shape as can... based on what we know today so.
Scott Davis - Morgan Stanley: Okay and as a follow-up and part of this is just how I am trying to still learn your company but when you think about how your business is transitioning in a down cycle like this where you're likely to have a decrease in bid activity but maybe MRO is a little bit more stable. I mean how does that mix shift change. How does it impact margins? Maybe we can start with just if you can tell us like the current mix delta between kind of MRO and what you're selling through from contracts and bids?
Roy Haley: I mean I think the big drivers on the mix tends to be project business versus what we sell, how the stock. The stock tends to be more oriented towards daily activity, maintenance repair operating supply, FICO line items. And we don't see big swing in a short period of time typically. Over the years we've moved more and more with our National Health Programs or integrated supply programs and emphasis in utility and industrial markets away from project business when we found the company out a decade ago. But we won't see dramatic swings that I am aware of so. The mix should not change dramatically. We typically see what we saw this year as you get late in the cycle, we see a higher project business which we saw growing throughout the 2008 which had some downward pressure on it too.
Stephen Van Oss: Just wanted to add that we'll still see good decent project activity. Near term we'll see some slowdown quicker and the stock items will put some downward pressure on it. But again we're working margin initiatives across all fronts. In addition to adjust the mix of business, there is certain areas that relate to our gross margin as are addition to what we sell products throughout before. So we have... what we sell our products for and there are additions and subtractions to gross margins based on activity levels to a degree. So you have full absorption accounting that comes into play. You have supplier volume rebate that come into play and typically when you see a slowdown in business on a percent, relative percent base then you'll have a little rebate as a percent of gross margin and the full absorption accounting when we grow our inventory helps to expand gross margin and when inventories will come down, it contracts little bit in gross margin. So there could be 30-50 basis point type of range of headwind that we'll need to overcome with our margin initiatives. And again we are able to do a good job with that in the fourth quarter and we are off to a good start in the first quarter.
John Engel: One thing I'd like to add is we've been for working some time at maturing out our activity based costing model and how we apply that and use it in terms of improving customer profitability. We know which customer relationships are profitable. We know which ones we want to put more of our time, energy and effort in. And so our focus is to sell more of our WESCO products and services to those customers we have strong relationships and we have... it's a win-win in terms of they value our service and it's profitable as reflected in the price. So, and I think we'll see that trend, we're seeing it. We saw in the last down turn, we'll see it this time. As they look to rationalize the streamline their supplier base, we have the opportunity to grow with our current customers and expand it.
Scott Davis - Morgan Stanley: Makes sense. Thanks for the explanation.
Operator: And our next question comes from the line of Shannon O'Callaghan of Barclays Capital. Please proceed.
Shannon O'Callaghan - Barclays Capital: Good morning. You mentioned price kind of being flat in the quarter. Can you give us a little feel going into '09? Do you expect price to be a negative contributor and how you expect it to play out?
Roy Haley: I think it will be slightly negative. We had in 2008 an unprecedented amount of price increases in the first half of the year, which we're able to pretty much get through the channel at this point in time. So we'll see a little bit of favorable as it relates to the first half of the year. That will probably more than be offset by the commodity area of both steel and copper. But we are not looking for a significant dropdown and we don't see any issues with our inventory. We don't see any issues with taking any write-downs on the value and our inventories today. I believe we'll be able to keep it stable at the gross margin percent level. Certainly we'll have an impact on the top line sales though.
Shannon O'Callaghan - Barclays Capital: And how is that playing out with your supply base given how the world changed in terms of how you approach them?
Roy Haley: I'm not exactly sure of your question, but I'll attempt to answer what I think you asked. We are in a very, very strong position with our supply base. We are... with our national accounts and integrated supply program, we're probably the number one customer for our top 20 suppliers. Our relationship has expanded dramatically over the years. Our balance sheet is in very good shape. We take advantage of every cash discount. We have multitude of touch points with the supplier base. And we believe we are the distributor of the choice given our productivity, the strength of the balance sheet. And with our discretionary moves, where they can push business on project, we believe we're getting at least our fair share. And so that's the question you are asking, that's the answer, but...
Shannon O'Callaghan - Barclays Capital: Yeah, I mean just as you are seeing your pricing come down and as you are selling out, I mean you show your ability to get that kind of leverage against your suppliers and if you are starting to do that?
Roy Haley: On a commodity side, that's pretty much real time. We work in constant with our suppliers. And where we see outside the commodity structure if there is a kind of a step function down in a product category group, we worked very closely with our suppliers and generally are protected on that. So we'll go back and get our inventories re-priced.
Shannon O'Callaghan - Barclays Capital: Okay. And then just how about your inventory levels? I mean your inventory came down in the quarter. Do you have a target for that next year and how are you sort of approaching your own destocking to the new demand level?
Roy Haley: The stocking area, we really work on that from availability and a day supply of inventory. And we match that relatively quickly to the sales activity level. So we have a performance target more than an absolute dollar target. And with the rapid decline that John talked about, that really hit exactly midpoint in the quarter, accelerating December we're a little behind our performance numbers although we did reduce the dollars. But we'll catch that up pretty quickly.
Shannon O'Callaghan - Barclays Capital: Okay. So that will play out kind of in the first and second quarter?
Roy Haley: It should.
Shannon O'Callaghan - Barclays Capital: Okay, all right. Thanks a lot.
Operator: And our next question comes from the line of John Baliotti of FTN Midwest Securities. Please proceed.
John Baliotti - FTN Midwest Securities Corp.: Maybe for John or Roy; is it possible to go through the three main segments? And do you have any color on where you think your customers' inventories are for the product they buy from you (ph)? Are they in addition to their slur activity in December and January, do you get a sense that they have a mandate just to work through whatever they've got or do you think they may have some stuff left over from a prior quarter?
Roy Haley: Yeah, in general, yes. Yes to the fact that we're clearly getting indications from our large customers across all our major segments like that. They are putting the screws to their spending. Capital projects are getting kicked out and deferred. And in terms of other discretionary spending, they're looking at reducing those and kind of burning off and riding the current inventory levels as a general trend across our customer basis. We clearly saw and that's going specifically by segment. Specifically in utility, starting with utility, we saw that clearly in December. Some municipals and co-ops consciously took their inventory levels down. With that said, we still had very nice performance in our utility and market segment, and our IOUs were up double digit, and that's the strength of our... let's call it our alliance integrated supply model, where we have some new and expanded agreements. On the industrial side, we are seeing a pretty much across the base. And that was reflected in our December sales results, is reflected in what we are seeing so far in January. We would see that it's being somewhat not going to be permanent and not going to be consistent. So as their inventory levels come down and it normalizes with their production rates, they're going to ultimately have to replenish to keep their -- output to support their output in those shipments. So, we would expect to see that to be somewhat temporary. And on the construction side, it's much more, let me say, project driven. And as I mentioned, our backlog is still at very healthy levels. We are not... we really haven't seen any meaningful impact in terms of cancellations. We are seeing some deferrals, but we are noticing that in particular some of the large regional and national contractor are customers, are looking at bundling more product together, bundling projects together and they're concerned about the integrity and reliability of the distributors base, i.e. our competitors. Steve talked about the strength of our balance sheet. We are getting feedback directly from our large contractor customers and our large suppliers that they want to do more with us because of our financial strength, our breadth of capabilities and the fact that we have to stay in power.
John Baliotti - FTN Midwest Securities Corp.: I mean I would think also if the inventory start to go down by bringing the customers utilities, you were up 7% than the delta there has to be some of your competition having a worst fourth quarter, and you did the small guys, I would assume.
Roy Haley: Again, we do feel -- even -- look, we can't control where the end markets are and how much the end markets are down, and -- but our focus is on expanding share and taking ground.
John Baliotti - FTN Midwest Securities Corp.: Right.
Roy Haley: And we are confident that we held our ground, took our grounds across all our segments in the fourth quarter and in 2008.
John Baliotti - FTN Midwest Securities Corp.: So, I would think that that would tie your relationship with them get... they will get stronger once things do come back if one to one there is just flush of inventory then they are going to be pretty reliant on who does actually have the product.
Roy Haley: Yes.
John Baliotti - FTN Midwest Securities Corp.: Just one housekeeping maybe for Steve. The... without getting into '09 specifically, how do you look at tax rate, let's say, going forward? It kind of bounce around little bit this year and this last quarter if I get, it actually cost you some earnings that were meaningful, I guess, relative to where you look in the third quarter. Is that... are we flattening out at some point here or how do you look at that for, let's say, next couple of years?
Stephen Van Oss: I mean, we're seen some quarterly moving on, John. We -- basically, the tax rate during the full year, we were at 30% and very, very good effective tax rate substantially below the statutory rates. When you maintain the ground we've got on the tax initiatives today and I think we're going to be writing that ballpark 30-31 next year. Some of this happened as you go throughout the year, it's a lot like rebates and everything. As you get to the year, you have a very precise answer on where your earnings are going to be, and where they are going to be by country.
John Baliotti - FTN Midwest Securities Corp.: Right.
Stephen Van Oss: There is -- no, we don't have a huge international presence. There is significant rate differences with the U.S. being one of the most highest corporate income tax rate countries, unfortunately what it is. So that was some of the movement in the quarter. Quarterly, it bounce around, the year rate doesn't move as much, but when you make an adjustment late -- to your full year rate late in the year, more impact on the quarter; but we should be around there.
John Baliotti - FTN Midwest Securities Corp.: Okay, thank you.
Operator: And our next question comes from the line of Dan Whang of B. Riley. Please proceed.
Daniel Whang - B. Riley: Yes, good morning here. Just first question was regarding your plans for, I guess additional 5% of headcount in the first quarter. I mean I think just going back to the last downturn in '01, over those few years, you had about 15% reduction in headcount, which actually was in line with similar decline in revenue. So could we see possibly additional headcount? Just thoughts around would be great.
Roy Haley: Yeah, the 15% you talked about was over three years time period and when little bit of history and we chased it hard and it took us a couple of years, really to even get kind of caught up. And in the last year, we finished off to get the 15% down, we were only down 1% on the top line. We are at much better position today. We started -- if you think about, we started in the second quarter of this year, adjusting headcount down. Even while we are adding to our sales force and growing the top line, and we accelerated that almost real-time of what we saw happened in the our top-line in the November to December timeframe. So, we do have this identified, and we are taking actions. We are well on our way as we said here in January because of the shake (ph). As part of our process we've gone through, the exercise and working on the 5% we were talking about in the first quarter, we identified a population of 10%. And if we continue to see -- and took action on half of that, the 5%. If we continue to see the activity levels right there in January, we will continue to work on the cost base and we'll see a tighter correlation in this economic this downturn to reacting to this top-line revenue and our cost structure.
Roy Haley: Dan we've been saying consistently over the last several quarters with this question that we would act very quickly, quick reaction, quick response. We did that in the fourth quarter. We will be down by the end of the first quarter 500 people over a four to five month period. We have and we're moving very quickly. We will always maintain a bottom 10% and we will continue to react based upon where end market demand levels are. With that said, we don't take a consistent across-the-board approach. We're very targeted. We're very... we take a scalpel precision approach and look at those parts of the business where we can take the cuts and we want to take the cuts as opposed to those that offer growth opportunity and that's our approach. So the approach we have been taking is the approach we've taken over the last couple of months and as Steve mentioned, we're monitoring the end market conditions in real time. So as we move through February and enter March, we're executing the actions we have outlined and we'll take additional actions as required and appropriate if end-market activity levels remain significantly depressed.
Stephen Van Oss: I'd add a point to that Dan. You may recall Roy mentioning earlier about how we invested in the previous down turn even with the 500 or so folks John mentioned in the last four to five months, the investment we made in the sales force, we are still a net up in our sales force as we speak today. So we believe we're doing the cuts in the right places and we will be in better position than our competition to be stronger.
John Engel: And we will continue to invest in marketing. We've got... we see green in sustainability as a major growth driver. Even in this challenging economic environment and customers more and more are looking for solutions. We're investing in more training for our workforce. We have six new training programs that we've launched within the last 18 months and we're expanding that. So we will continue to invest in our talent and we will continue to invest in those vertical market opportunities that offer us the strongest growth opportunities. Government is one in particular that we've spoken about and our opportunity is significant, because we have... our government sales across WESCO is just a few percent of our total annual sales.
Roy Haley: And we've got one overall leader who is coordinating our efforts to go after the government opportunities and integrating what we have on CSC and across all the WESCO operations. We think the government-related growth opportunities will be particularly significant for us, given our current position and what our capabilities are and the additional spending and stimulus plan that looks like it's going to be take effect here shortly in terms of additional infrastructure related spending and IT spending in the U.S.
Daniel Brailer: This is Dan Brailer. In order to accommodate in the last 10 minutes, those still remaining in the queue to ask. I'd ask if we could limit it to one question and we'll try to swiftly move through and respond to your question and then I am happy to take your calls off line.
Operator: And our next question comes from the line of Christopher Glynn of Oppenheimer, please proceed.
Christopher Glynn - Oppenheimer & Co., Inc.: Thanks and thanks Dan for making sure we get on. Just the... and now I have choose which question to ask. Any observations you could offer around visible signs of stress with the smaller competitors such as dumping their product in certain markets or things like that.
John Engel: I would say that... nothing we want to point to or side. But I would that our reaction is one of... we're not focused on competitors, we're focused on customers, and we're focused on partnering with our best supplier partners in serving our customers. That is our focus. We think we're taking share. Our planning commitment is to take share, but we think that's the right approach.
Christopher Glynn - Oppenheimer & Co., Inc.: Great, thanks a lot.
Operator: And our next question comes from the line of Brent Rakers of Morgan Keegan. please proceed.
Brent Rakers - Morgan Keegan: Yeah good morning, and I think you started to talk a little bit around down of the head count reductions. But, if you're going to reduce about 500 people, could you give us a sense for what the mix of support personnel versus sales would be and then secondly, in terms of the branch closings, could you give us a sense I guess for both the branch closings and the headcount reductions, what you anticipate the lost revenue would be from those?
Roy Haley: The fact just ...just to clarify the 500, the 500 say approximately 500 will be the staffing adjustments that we will make starting, we've already started starting November, in the month of November December through the first quarter. It's still lined out that...that's the duration of the timeframe if the 500 is going to ....
John Engel: And Brent we've taken an approach to look across the entire operation. There is virtually no area of the business that we've not looked at in terms of kind how to adjust our staffing levels. And I'd would say that we in certain parts of the business we are taking more aggressive actions and it makes sense right. When you take a look at the manufactured structures, manufactured structures has declined for eight consecutive quarters. We have a very good view into what those end markets have done over those eight quarter. We now what our sales results are. We are highly confident that we have taken market share. But we've aggressively resized that business given our view of the end-market realities. I didn't talk about specifically that manufactured structures was down a little under 40% in the fourth quarter. That's off... against the weak Q4 in 2007. So we've taken much more Draconian staffing adjustment actions in manufactured structures than we have in other parts of the business where we are seeing great growth opportunities. I mentioned that we opened up 7 CSC locations inside WESCO branches, that's a net addition. Okay. So I think that's important to understand our approach. Secondly, your question related to the branch closures we talked about ten branch closures that we executed in the fourth quarter. The sales is roughly 25 million a year and our approach when we closed the branches, again we have an activity-based cost (ph) we know which customers with proper listed value what we do. We obviously don't try to we try to preserve the revenue and the relationship with those customers that are valued. I would say that depending on which branch you looked well our plan is to retain 50 to 100% of the revenue depending on the branch locations and the way we would do that is by servicing those customers with other branches that are in our in the geographic proximity.
Brent Rakers - Morgan Keegan: Thanks John.
Operator: And our next question comes from the line of David Manthey of Robert W. Baird. Please proceed.
David Manthey - Robert W. Baird & Co.: Hi guys good morning. What was your securitization balance as of year end?
Stephen Van Oss: Just slightly below $300 million. We typically David we keep that one fully utilized with the rapid exchange in LIBOR and the challenges weakness in the commercial paper market that was not our cheapest facility. So we shifted some to the revolver but the $500 million facility between that and revolver we utilized the maximum on ones that's most effective interest rate.
David Manthey - Robert W. Baird & Co.: Okay. And second, could you talk about differentials in pricing as it relates to your different segments if you look at Data com versus non-res construction versus industrial. Were there any material differences in pricing between the segments?
Stephen Van Oss: There's not been any significant change on sequential or quarter-over-quarter basis. No.
David Manthey - Robert W. Baird & Co.: Okay. Thanks guys.
Stephen Van Oss: All right.
Operator: And our next question comes from the line of Matt Duncan of Stephens Incorporated. Please proceed.
Matt Duncan - Stephens Incorporated: Thanks for letting me in here. I have just two very fast things; first of all Steve, you gave us revenue guidance for 2009 is down 8% to down 12%. But I didn't catch any R&D's guidance or even operating margin guidance. If you could just give us a few comments to help us there. And then the second question is if you could just talk a little bit about what you are seeing out there in the non-res construction market right now, John, I know you said back log was down sequentially. Maybe, if you could quantify that decline and then talk about mid activity if you are seeing any cancellations or deferrals? Thanks guys.
Stephen Van Oss: As far as the guidance -- 8 to 12% is pretty wide range. And we really are going to give the EPS numbers on that right now. What I would tell you based what you believe there or what we said is that we would anticipate being able to for most parts to maintain the improvements we saw on gross margin and depending on the velocity, which quarter, how much it drops on the top line, it will be a bit of a lead lag on the SG&A costs. For example in the first quarter, we expect to see sales down in the double digit range. We're taking significant cost structure actions, but we're also be taking a one-time charge that we really want to see the benefit of that until the second quarter. So, I think that's what you're going to have to look at as you go forward.
Matt Duncan - Stephens Incorporated: Okay.
John Engel: In terms of bid activity level, we're still seeing -- I mean bidding has not stopped. There are still projects out there. We are still -- we have a very strong opportunity pipeline. And also what we are finding is there maybe projects that are out there that move out, they get deferred. We expect to see -- we're beginning to see some reprising activity as well. I mean it's going to happen and commodity prices have come down. It's going to create some additional pressure. We've dealt with that through the fourth quarter. We expect, we're going to face that kind of environment if we move really through the better part of 2009.
Matt Duncan - Stephens Incorporated: Okay, thanks guys. Operator: And our next question comes from the line of Steven Fisher of UBS.
Steve Fisher - UBS: Hi, good morning. Can you just talk about what types of projects have been deferred versus what types have been cancelled in terms of end markets?
John Engel: Steven, we've seen -- as I mentioned, when you looked at our non-residential construction sales, I mentioned in my commentary that already that we've seen it across most regions in the United States. It's pretty widespread. So it's not contained any particular segment. We did have three geographical region in the U.S. that grew in the fourth quarter, grew from the non-resi reconstruction standpoint. And we have actually very nice results that we're heavenly construction driven in Canada. Canada grew nicely in the fourth quarter in terms of -- on a local currency basis. So, it's not really isolated or can be isolated to one or two categories. We are seeing a widespread slowdown. And you can't pick up the paper any given morning without seeing projects that have been deferred or cancelled. It's widespread.
Steve Fisher - UBS: Okay. And then just a follow-up; if I missed it, did you talk about what your outlook is for M&A activity?
John Engel: No, we did not talk about we just finished nice addition to OEM and industrial automation businesses. We just remain active in looking at new opportunities. But two things I'd point out. One is we are very protective of our liquidity and credit availability position and to maintain that as we continue to get a better view on 2009 from economic activity and the credit availability. So that's weighing heavy on our thinking. And two: we are entering into a period, where things have moved down dramatically that the ability to get a good hard breed on the future stability of the earnings stream or free cash flow from the acquisition is making valuation a little bit more difficult on our part, and a little bit more difficult in the sellers part of saying, I want to get paid on what I did the last year, not on what you think I'm going to do the next year. So I expect to see it slowdown for what one based on what we're willing to do into on what the seller maybe willing to let this business go for.
Steve Fisher - UBS: Okay, that's helpful. Thanks.
Operator: Ladies and gentlemen, this does conclude the question-and-answer portion of today's conference call. I would like to turn the presentation back over to Mr. Roy Haley for any closing remarks.
Roy Haley: Thank you. And for any of you, who did not get into the Q&A session, please give Dan a call. We're happy to respond to your questions. We mentioned that there has been at least in the -- for the couple of downturns, we've invested during these periods. We're continuing to do that. I am pleased to say that the investments that we have been making over the last several years are reaching certain stages of maturity and development. And we are doing well in a number of different areas. We've strengthened our organization and I spend a lot of time out in our field organization with customers and suppliers and our own personnel. And I can tell you that we've never been stronger in that regard. We have the same sort of activity in departments all across the company with a lot of good ideas for our continuous improvement. Our customer and supplier relations are extraordinarily strong right now. And I am bullish about that. And we've also made over the last couple of years some major investments with people and other marketing initiatives and new market development. And we are beginning to see those results in either new customer wins or project opportunities. So the investment side of our business is something we are committed to. John commented that even while we are taking staff reduction initiatives in some areas, we are also boosting staff in others. We didn't talk a lot about what the stimulus package may yield. That of course is still very uncertain about the timing. But most of what is talked about certainly sounds like it could be favorable for our customers and for us. So we'll be working all aspects of infrastructure opportunities and projects on a going forward basis. And I think we will be well positioned as we proceed through 2009. Again I'd like to say, I think we actually had pretty darn good performance in 2008, including the fourth quarter all things considered. And we entered 2009 with a lot of challenges, but we are up to it. So we thank you for your support and hope to see you soon. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference call. And this concludes your presentation; and you may now disconnect. Have a great day.